Operator: Welcome to the American Electric Power Second Quarter 2015 Earnings Call. [Operator Instructions]. At this time I would like to turn the conference over to our host, Managing Director of Investor Relations Betty Jo Rozsa. Please go ahead.
Betty Jo Rosza: Thank you Nick. Good morning everyone and welcome to the second quarter 2015 earnings call for American Electric Power. We're glad that you were able to join us today. Our earnings release, presentation slides and related financial information are available on our website at AEP.com. Today we will be making forward-looking statements during the call. There are many factors that may cause future results to differ materially from these statements. Please refer to our SEC filings for a discussion of these factors. Joining us this morning for opening remarks are Nick Akins, our Chairman, President and Chief Executive Officer and Brian Tierney, our Chief Financial Officer. We will take your questions following their remarks. I will now turn the call over to Nick.
Nicholas Akins: Thanks Betty Jo. Good morning everyone and thank you for joining AEP's second-quarter 2015 earnings call. AEP once again had a strong quarter performance. At the risk of being redundant there are several reasons for this positive performance. The strength of geographic and state jurisdictional diversity, the passion and culture of AEP employees to continue our journey of efficiency gains through lean optimization activities, positive regulatory outcomes through our focus on operating company performance, continued expansion of our transmission business, increases in all three customer segments; residential, commercial and industrial; and continued positive performance by the unregulated business despite lower than forecasted power prices. These results continue to illustrate the disciplined execution of our business segments to produce consistent earnings performance for our shareholders. That's what is expected from the next premium regulated utility, our tagline at last year's EEEI financial conference. The second quarter GAAP and operating earnings came in at $0.88 per share, compared with second-quarter 2014 GAAP and operating earnings of $0.80 per share. For year-to-date with the positive performance of the first quarter as well, AEP's earnings stands at GAAP $2.16 per share and operating earnings at $2.15 per share. As you already know, two days ago the board of AEP authorized dividends to be paid to shareholders of $0.53 per share making this the 421st consecutive quarter of dividends being paid in the history of AEP. It was Plato who said, there is no harm in repeating a good thing. So in light of that, as we did last year, we are raising our guidance for 2015 from $3.40 to $3.60 per share to $3.50 to $3.65 per share and increasing our capital spend and transmission another $200 million from $4.4 billion to $4.6 billion. We are also reaffirming our 4% to 6% earnings-per-share growth rate based upon our original guidance. 2015 is stacking up so far to be another great year for AEP, but we still have 1/2 a year to go. We aren't popping the champagne corks or anything like that. But we are leaving the second quarter with a smile of quiet confidence as we enter the second half of 2015. As we have maintained for the last two years, 2016 is a significantly challenged year because of Ohio issues of deregulation and capacity auctions, but we have and continue to chip away at the deficit because of actions taken to continue our expected earnings growth profile. Let me address a few areas before Brian takes over with the details. While customer load remains somewhat tenuous if you're looking quarter to quarter, during the second quarter all three customer classes, residential, industrial and commercial, increased; particularly commercial load. Continued industrial growth is interesting given it's primarily driven by the oil and gas sector. We usually hear of new rig counts decreasing but that doesn't necessarily translate to load decreases, however. We continued to see production and load increasing in the shale regions primarily due to continued optimizations of the oil and gas fields including the additions of compressor load. While overall load increases have been slightly less than forecast, the mix between customer classes continues to impact financial outcomes. We will continue to watch the load sectors closely as we gauge the robustness of any potential overall economic recovery. We continue to be pleased with the progress of our continuous improvement and cultural aid initiatives through Lean and our Power Up and Lead programs that enable a culture and an expectation of continuous efficiency improvements, with decisions made as teams in all levels of the organization. Regarding Lean activities, we are now complete with 15 plants, with one remaining and have extended into areas such as Cook Nuclear Plant and centralized repair shops as well. We've completed 20 of 31 distribution districts with 10 remaining for this year and one that will extend into the first quarter of 2016. Three of five transmission areas across the AEP have completed Lean reviews, with the remaining anticipated to complete by the end of the year. Additionally Lean activities are in progress in other areas such as IT, supply chain, inventory management, fleet operations, customer and distribution services and others. This activity has and will continue to be a very important part in engaging our employees to achieve not only our 2016 objectives but also to redesign our business processes and supporting culture for the future. Starting with the rate case activities, we have completed cases at APCO in West Virginia and in Kentucky. We also initiated rate case at PSO in Oklahoma. The West Virginia rate case outcome met our expectations of improved revenues to support the quality of service to our customers and improvement in the recurrent expectations with investments made at APCO. The order authorized an increase in rate with an ROE of 9.75% with additional revenues for vegetation management, confirmation of the base rate transfer of the Mitchell plant, resolution of the consolidated tax issue, among other areas that really set a positive tone for the future. Regarding Kentucky, the rate case outcome there again was constructive for future investments. The $45 million rate increase authorized included 10.25% ROE for several riders regarding certain Mitchell and Big Sandy activities including incremental vegetation management. Also importantly, it allowed the recovery of North Zip compliance costs, signaling the recognition by the commission of the importance of these types of expenditures. It also settled the issues related to the fuel cost recovery case that was before the court. While with these two cases completed along with the formula base rate adjustments at I&M and SWEPCO we have now secured the forecasted rate changes for 2015. Additionally we filed a base rate case at PSO to recover generation and environmental related costs, as well as other cost adjustments with the request of 10.5% ROE. Rates in that case are intended to be effective in first quarter of 2016, so overall a great story regarding regulatory performance. As you all know by now, FERC had approved the capacity performance model that PJM had proposed and last night threw a wrench in the plans for at least a supplemental auction being held next week. But regardless, the upcoming base residual auction will ultimately help define the forward view of generation value. The supplemental auction remains important for our risk-adjusted 2016 performance. We'll be participating in all of these auctions, of course not saying how. But we are hopeful to see improvement in valuations of our generation. These auctions will affect the financial outlook for unregulated generation, in particular baseload generation and will begin to answer some of our 2016 risk-adjusted assumptions. More clarity on the subject will be provided when we get 2016 guidance at the EEI Financial Conference. The forward view of generation will also be an important data point as it relates to our evaluation process of the unregulated generation. The process continues with these instructive and perhaps substantial data points that we have been discussing with our board for a couple of years now. Chuck Zebula and his team have done an outstanding job compartmentalizing the risk of this business and are positioning the business in a positive way regardless of the outcome. PJM and FERC have done their jobs in at least making some progress in allowing for a potential path for improved generation value. The only holdout is the Public Utility Commission of Ohio on the PPA question. We would not have presented the PPA option through the Commission if we did not think it was important. It's important for Ohio and its energy policy, Ohio jobs, taxes, economic development and in fact, the future of the generation business in Ohio. Governor Kasich once give me some advice. Don't get so buried in the financial expectations of the company that you lose sight of doing the right thing. If we take a look back at AEP's proud history of owning and operating generation in Ohio, we have always supported the economic engine for growth whether it be the assets themselves, the ancillary assets such as transmission, the supported economic developed or the development of domestic Ohio fuel to support the generation. So what's happened in the last few years in Ohio? Well, for AEP over $0.5 billion in write-offs, the incremental loss of capacity revenue or approximately $200 million, each and every year in the last three years and a state that is left short of generation capacity to serve Ohio customers. Not a good story for generation investment in this state because we serve 11 state jurisdictions of almost all regulated jurisdictions as well as significant transmission across the country, we have managed the loss of Ohio revenue pretty well. That's the value of diversity. But this is really about the customers in the state of Ohio. It's about volatility of electric pricing, particularly in extreme heat or extreme cold that impacts all customers' pocketbooks. It's about Ohio's energy and financial future by developing its own resources such as natural gas and maintaining existing resources. Continual delays are not the answer. It's time for the PECO to do the right thing. Moving on to another subject, we continue to participate in the EPA dialogue regarding the clean power plan. We've talked at length in previous earnings calls about the challenges the proposed rule produces for the state utilities and other stakeholders so I will not cover that ground again. I will say that I believe through conversations at the White House and the EPA that there is an understanding of the major issues involved, namely the aggressive front-end 2020 emission targets and timeline and the reliability applications. What they ultimately do about it in the final rule we don't know. We will continue to work with our states to understand the final ruling implications and engage in the succeeding deliberations to achieve an ultimate result that is reasonable and rational and its impact on customers costs and reliability of supply while maintaining to achieve environmental progress. Let's turn to the next page. The famous equalizer graph, there is a couple of start things in the equalizer graph that I will get into here but from an Ohio power situation, the ROE for AEP Ohio decreased this quarter primarily due to lower earnings driven by increased PJM and property tax costs and lower margins due to seasonal rate adjustments. However we do expect the AEP Ohio subsidiary will finish the year in line with the 12% ROE forecasted. For APCO you just heard about the rate case in West Virginia and the outcome there. So rates were implemented in June or 2015, so we expect to see higher ROEs for APCO for the balance of the year and that will continue to improve. The primary drivers - and Kentucky is one of those areas 0.6% does not look too good. But the primary drivers for the decrease in ROE were the $36 million regulatory provision that was reported for the fuel cost recovery disallowance related to Mitchell, plus an additional $7 million that was recorded in 2015. Also Off-System Sales have been off slightly in Kentucky as well, but we expect the ROE will grow to approximately 5% by the end of 2015 and should be in the 9%-10% range by the end of 2016. We should see a measurable progress here in the next year and a half. I&M continues to do well. It's on track to grow earnings and achieve its authorized ROE range. They are in the middle of several capital investment programs particularly in generation with Rockport SCR, solar installations, nuclear lifecycle management and its well transmission projects, so we continue to see that one improve. PSO did improve modestly as a result of higher retail margins primarily on increased rider revenues and lower O&M expenses. A base rate case, I mentioned earlier, has - had been filed July 1, 2015, so we expect continued recovery there as well. And SWEPCO, the transmission cost recovery in Texas and a formula-based rate true-up in Louisiana as well as a true-up in increased wholesale customer rates were the primary drivers for SWEPCO's ROE improvement during the second quarter. However the ROE continues to be under pressure because of the Arkansas portion of TERC and we continue to analyze our alternatives and timing associated with addressing the 88 megawatts of TERC that are still outstanding. AEP Texas we expect the ROE&A there to continue to decline somewhat through 2015 as distribution has raised their CapEx and the need to infuse equity to replace tax obligations due to related deferred taxes from the securitization. The AEP Transmission Hold Co. is doing well. Its Hold Co. returned 11.9% is still in line with its authorized return so it continues to do well. So from an equalizer standpoint the numbers are reasonable. The overall has come up, it will continue to come up and Kentucky which is the one that is showing extremely low, will make rapid progress so we're in good shape there. The transformation of our industry is occurring. AEP will continue to position itself to succeed. If I could borrow from Jim Collins, the famous business author, of Good to Great, Great by Choice and other books, what our investors have witnessed over each quarter of the last four years has been the beginning of AEP's version of the 20 mile march. With dogged determination, disciplined execution and AEP ingenuity, we will be successful as the next premium regulated utility. Brian, I will turn it over to you.
Brian Tierney: Thank you Nick and good morning everyone. Let's begin on slide 5 with a review of the major drivers affecting the earnings comparison for the quarter. This year's second quarter operating earnings were $0.88 per share or $429 million compared to $0.80 per share or $390 million last year. This solid performance for the company was driven by our regulated businesses where we are investing for our customers, executing on our regulatory plans and spending O&M wisely. With that overview let's review the major earnings drivers by segment. Earnings per share for the vertically integrated utilities segment was $0.43, up $0.12 from last year. Key drivers in the quarterly comparison include rate changes which added $0.11 per share and are related to the recovery of incremental investment to serve our customer. This improvement includes the effect of annual true-ups related to FERC formula rate customers. Warmer temperatures in 2015 and higher normalized margins each added $0.01 per share to the quarter versus last year. The growth in normalized sales is primarily driven by improvements in the commercial class. I'll talk more about load and the economy in a few minutes. The vertically integrated segment also benefited from lower O&M expense, adding $0.02 per share for the quarter. Partially offsetting these favorable items is a $0.03 per share decline in off system sales margin which was driven by much lower power prices this year. The transmission and distribution utilities segment earned $0.16 per share for the quarter, down $0.02 from last year. The $0.02 per share decline in normalized margins is due in part to the elimination of seasonal rates in Ohio beginning in 2015. This will reverse over the balance of the year. This segment was also adversely affected by $0.01 per share from higher O&M expense primarily due to higher transmission costs in Ohio. These two unfavorable items were partially mitigated by earnings on incremental. investment and distribution facilities to benefit customers in Ohio. The Transmission Hold Co. segment continues to grow, contributing $0.13 per share for the quarter, an increase of $0.03 per share over last year. Year-over-year the Transco's net plant grew by approximately $1.2 billion, an increase of 57%. The generation and marketing segment produced earnings of $0.16 per share, off $0.04 from the second quarter of last year. As expected we're beginning to see the adverse effect of lower Ohio capacity revenue. You will remember our 2015 forecast included a capacity revenue decline of $0.35 for the year beginning in June. Despite this decline, the segment benefited from favorable hedging activity which helped offset the impact of weaker market prices. AEP River Operations declined $0.01 per share quarter over quarter, reflecting a decline in barge revenue due to high water conditions in May and June. Corporate and other earnings were unchanged from last year's results. On slide 6 we have a view of year-to-date operating earnings compared to last year. Operating earnings for the period end at $2.15 per share or $1.1 billion, compared to last year's $1.95 per share or $950 million. Similar to the quarterly comparison growth from our regulated businesses is driving results with the competitive businesses performing close to last year. Weather had no impact on the year-to-date comparison. Earnings per share for the vertically integrated utilities segment were $1.03 per share this year up $0.15 from last year. The major drivers for the segment include the favorable effect of rate changes for $0.15 and the effect of the Virginia rate legislation adding $0.03 per share. Remaining drivers were discussed at length during our first-quarter call; as a reminder these include lower normalized margins, primarily due to lower residential sales in the East, the effect of lower power prices this year on both our Off-System Sales margin net of chairing and PJM expenses and lower O&M this year primarily driven by a decline in employee-related expenses. The transmission and distribution utility segment earned $0.36 per share for the first six months, down $0.02 from 2014 consistent with the second quarter. We're on track to achieve the segment's earnings target for the year. The Transmission Hold Co. segment earnings through the first half of the year are at $0.21 per share, up $0.06 for the same period in 2014. Similar to the quarter, increased investment is driving the year-to-date results. The generation and marketing segment matched last results through the first half of the year. As I mentioned we're seeing the adverse effect of lower capacity revenue but our trading and retail activities have offset this impact. And finally AEP River Operations remains favorable for the first six months driven by lower cost in the first quarter. In summary when you look at our performance for the first half of 2015, you see our regulated utilities executing on their investment and rate recovery plans while demonstrating cost discipline with day-to-day operations. Our competitive businesses, despite being challenged by the decline in capacity revenue, have produced earnings at last year's level as the commercial and retail teams continue to take advantage of the available opportunities. This combination has allowed us to exceed last year's results by $0.20 per share. Strong results from the first half of the year and a stable outlook for the balance of the year serve as the basis for raising the operating earnings guidance range to $3.50 per share to $3.65 per share. Now let's look at slide 7 to review the normalized load performance for the quarter. Starting in the lower right corner, weather normalized load grew by 0.009% compared to last year. With growth spread across all our major retail classes. This brings our year-to-date normalized growth within 0.003% of last year's results through the second quarter. In the upper left quadrant residential sales are up 0.003% compared to the second quarter of 2014. The growth in residential sales is largely coming from customer growth which is also up 0.003%. Most of the customer growth is happening in our Western territory, especially Texas, where residential counts are up 1.2% versus last year. Year-to-date residential sales are down 2.2% versus last year; this is mostly a result of the weak normalized growth reported the first quarter. Remember that last year's first quarter normalized load was unusually impacted by the polar vortices. Looking to the upper right corner of the slide, commercial sales were up 1.9% for the quarter. Here we saw growth in commercial sales at every operating company except for Kentucky Power. Once again the strongest growth in the commercial sales is happening in the West, where we also saw the strongest growth in non-farm employment. Finally in the lower left quadrant, industrial sales growth moderated again from the previous two quarters but still grew by 0.006% compared to last year. We continued to see robust industrial sales growth from customers in oil and gas related sectors despite the recent decline in oil prices. Outside of the oil and gas sectors, our industrial sales were down 3.2% compared to last year. As many of our export manufacturing customers are starting to feel the impact of the strong dollar and weaker global demand. With that let's review the most recent economic data for AEP's service territory on slide 8. Starting with GDP you can see that the estimated 1.7% growth for AEP's service area is about 0.5% less than the estimated growth for the U.S. This is not surprising given the impact of falling oil prices, especially in our Western footprint. As you know, AEP's service territory covers five of the seven major shale areas that the EIA has noted are responsible for 95% of domestic oil production and all of natural gas production growth since 2011. While the entire nation benefits from lower fuel prices, the regional economies supporting these shale plays experience the direct impact of the lost oil and gas jobs in those areas. In fact this quarter marks the first time in over four years where AEP's Western GDP growth fell below that of the East. In the bottom left quadrant you can see that the job market within AEP's service area to improve in step with U.S. employment recovery. Here job growth within AEP's Western territory exceeds the Eastern service area. The sectors showing the strongest job growth for the quarter included construction, leisure and hospitality and education and health services. We should point out that the sector which saw the biggest decline this quarter is the natural resources and mining sector which is not surprising given the decline in oil prices and active rig counts. Now let's turn to slide 9 to update you on the domestic shale gas activity happening within AEP's footprint. We continue to see significant industrial load increases in the parts of our service area located in and around major shale formations as illustrated in the upper left chart. It's remarkable that we saw 10% growth in electricity sales to oil and gas related sectors despite oil prices that are down 45% from last year, rig counts being down nearly 60% and 8000 fewer oil and gas workers than we had at the end of 2014. In the upper right chart Oil and Gas loads spread across all major shale plays within AEP's service territory with the strongest growth located around the Woodford, Eagle Ford and Marcellus Shales. If we dissect the oil and gas growth into its components that is upstream, midstream and downstream activities, as shown in the bottom left chart, you see that the strongest growth is coming from the midstream pipeline transportation sector which grew by over 34% in the second quarter. This is mostly due to the expanding infrastructure being built in West Virginia, Ohio and Texas to support the Marcellus, Utica and Texas shales. In our upstream sector, oil and gas extraction, volumes are up nearly 6% while the downstream petroleum and coal products sector grew by just under 2% this quarter. I should point out that we expect a number of new oil and gas related expansions to come online over the next 18 months. In contrast to the growth in our oil and gas sectors, I'd like to focus your attention to the red bars on the upper left chart. This shows the trend in our industrial sales excluding the oil and gas related sectors. You can see that the rest of our manufacturing sales are not growing as they were last year at this point. Down 3.2% in the second quarter. In fact through June, 6 of our top 10 industrial sectors are down from last year's results. The only sectors showing growth are the three oil and gas related sectors along with transportation equipment manufacturing which benefits from low oil prices. The stronger dollar and weak global economy have developed into headwinds for many of our export manufacturing customers. For example, sales to chemical manufacturers were down almost 9% this quarter, while primary metals volumes were down 10%. This is something we will continue to monitor closely as we work through the balance of the year. On a lighter note, let's turn to slide 10 and review the company's capitalization and liquidity. Our debt to total capital is very healthy at 54.3%. Our credit metrics, FFO interest coverage and FFO to debt are solidly in the BBB and BAA1 range at 5.6 times and 21.5% respectively. Our qualified pension funding has improved and is now fully funded at 101%. This improvement was driven by our reduction in liabilities from increased interest rates which more than offset a small decline in pension assets. The company also made a $92.5 million contribution to pension assets in June, as planned which is equal to the company's estimated annual service costs. Since our OPEB funding stands at 122%, no funding will be needed in 2015. Finally our liquidity stands at $3.2 billion and is supported by our two revolving credit facilities that extend into the summers of 2017 and 2018. At this point I would like to point out some of the opportunities our Treasury group has taken advantage of during the quarter. First, at Appalachian Power Company, they redeemed a high coupon issuance and refinanced at a much lower market rate. Secondly the Treasury team extended to April 2017 the $500 million AEP generation resources term loan with a flexible lower-cost facility. And finally, the team partnered with local banks in the Indiana and Michigan service areas to grow that company's local bank facility to $200 million with an expiration in May of 2018. The company has worked very hard over the last several years to strengthen its balance sheet. As you just heard, our Treasury group is active in the debt markets and working with our banking partners to secure low-cost capital to put to work for our customers. This when combined with our strong operating results give us the confidence to increase our capital spend by $200 million this year. Let's see if we can wrap this up on slide 11. Clearly the first half of 2015 is off to a strong start for our customers, shareholders and employees. Conditions have been favorable and our operating commercial and corporate groups have made the most of the opportunities available to them. Based on our strong results to date and our outlook for the balance of the year, we're comfortable raising our operating earnings guidance range to between $3.50 per share and $3.65 per share. Based on our operating cash flows, our strong balance sheet, and our continued access to low-cost capital we're confident in increasing our capital investments this year by $200 million. This incremental spend will be in our transmission businesses, both at the Transmission Hold Co. and at our utility operating companies. And finally, we are reaffirming our 4% to 6% growth range. We have some challenges related to Ohio deregulation and an unsettled economy but we're managing our way through with disciplined O&M spending, the continuous improvement initiatives that Nick mentioned and increased investment in our regulated businesses. With that I'll turn the call over to the Operator for your questions.
Operator: [Operator Instructions]. Our first question today comes from the line of Daniel Eggers with Credit Suisse. Please go ahead.
Daniel Eggers: Nick, I know you cannot control the government and all regulators but certainly delays in Ohio and the [indiscernible] last night pushed that timeline the clarity on the generation business but can you walk through how you and the board are approaching a decision on monetization. What datapoint you guys think you need to see before you are comfortable formalizing that decision?
Nicholas Akins: Dan, clearly we were looking at the capacity auctions to look at the long-term value generation. The supplemental auctions are by and large sum of the risk-adjusted items and filler in for 2016 and 17 during those years, but in particular 2016. If those supplemental auctions continue to occur before certainly before in September, October time for an even then we will have a good handle on what we 16 looks like. But the base residual auction is clearly the important one in terms of long-term valuation of generation and we continue to expect those valuations to improve. Our board has been along with us all along the way. As a matter fact we had a board meeting with them this week. And when over the issues involved and the primary issue was the upcoming auctions that would be a large part of presenting to us our options relative to the strategic valuation of generation. That is the key component. As far as the PPA is concerned that will continue on. It's really hard to tell when the pew co-will focus on that. I would say that we continue to push for the PPA obviously but the main determinant right now with the board is the capacity auction. Once we get that we will have a major data point for the board and we can continue our process of the strategic evaluation.
Daniel Eggers: And on guidance and we're going into the summer but if you look at generation now above your full-year guidance and transmission and the run rate equals your full-year guidance, what are some of the things we should think about tempering the second half results to stay within this elevated band and how particular on some of the segments.
Nicholas Akins: I think you have O&M spent obviously that there is timing issues with O& M. As far as the remaining they could be storm related activities, many things we hedge on. I know that sounds like sandbags to a certain point but it's not that. It's really we're trying to risk adjust some of these issues that can occur. Brian?
Brian Tierney: Yet another big driver is that PJM capacity revenue declined $0.35 almost all that is in the back half of the year. Five cents of that was in second quarter but the remaining $0.30 is back half of the year.
Daniel Eggers: I guess maybe, just the other way how much O&M do you think you can incrementally pull forward from '16 into '15 just to give you a little more breathing room for next year given some of the other built-in challenges there already?
Nicholas Akins: We pulled some already the sequential beyond what we did last year. It's around 14 million. It's getting harder and harder to do that obviously. You can pull some input you cannot pull everything in. I'm seeing that as more limited right now.
Operator: Thank you. Now we will go to the line of Stephen Byrd with Morgan Stanley. Your line is open.
Stephen Byrd: I wanted to touch on transmission, you're making great progress in terms of incremental spend. I wondered if there were further opportunities that you saw or if you could maybe give us more color on the outlook there to create additional opportunities. What sort of - what are the drivers here as we should think about your ability to grow transmission even further.
Nicholas Akins: There is a lot of color here. We have a lot of incremental spending that we can do in transmission. Right now transmission you think about it we have over 2000 projects going on right now. And those are small projects and larger projects in all that kind of thing. But it shows the bandwidth of what transmission is doing with look at the investment profile for transmission particularly for AEP in it continues to be - it's a huge footprint that we are able to invest in from Transco perspective and from an individual operating company perspective. We mentioned this last time. Just the rehabilitation of the existing grid we are challenged to keep up without that alone put an additional enhancements and we really want to do that because it improves the quality of service ultimately to our customers. And so we have a lot of runway left a lot to transmission. No question about it.
Stephen Byrd: And switching back to clean power plant, after we see the final rule from EPA could you just talk about sort of the process overall. I know you’ve a bunch of things to think through but how should we think about how you might respond over time in terms of what that will mean for your overall spending plan and how the grid will look and make the power plant etcetera. Can you talk at a high level as to how we should view that for you?
Nicholas Akins: Sure. Obviously it depends upon what the final rule looks like. If you look at the categories - if you're having to adjust natural gas dispatch versus call dispatch example that is one thing. That ultimately impacts the fuel cost to customers. As a result when you do that kind of switching, but in terms of infrastructure, we've made the plan - our initial approach to this is going to be we get the final rule and if the EPA is fully aware of the issues involved from a reliability standpoint but also from a implementation standpoint and if they wind up being respectful to the state of the resource process that they go through and allow time for that to occur and targets are more rational instead of - 11 states have over 75% of the requirement in 2020 and many states there's over 50% of requirement in 2020. That has to change. It's too early and it is too aggressive emission reduction targets. If they come off of that and have a rational plan to allow technology to continue to improve and we can actually wind up at a better place at the end of the day in 2030 then that would be a good outcome. In that case we could be able to work with the state. They obviously care about what we think in terms of liability standpoint and the infrastructure that we put in place and how quickly we can do it and that kind of thing. But it is a state plans. And the states have to have time to review those plans and then we start taking actions based upon or our individual states want us to go. In my mind it depends upon certainly the president because the president is driving the bus on this thing. And the EPA obviously is looking at the issues - all the issues involved and if there is moderation associated with the targeted implementation and being respectful of the state process that need to occur and the infrastructure and timing of infrastructure and having reliability provisions that make sense, then we can get about the process of investing from an AP perspective. We're in the middle of a transformation anyway. The industry is in the middle of a transformation. We've already reduced our emissions by 15% since 2005. And that process continuing with the advent of natural gas shale gas activity in the advent of renewables putting in solar and doing wind farms, but energy efficiency and better technologies are coming into play as well. There are real opportunities for us to invest in the right things for the future and actually balance out our energy portfolio which is a good thing for this company and the country as a matter fact.
Stephen Byrd: And assuming that again the EPA rule does give you a realistic path as you pointed out is that the past that is - you really couldn't achieve, should we be thinking about resource plan that can be filed and overall plans over time that you would submit that would be out how you see the best path forward and what that would involve in terms of spend an asset mix?
Nicholas Akins: Yes that's right. We be working with the states to file the resource plans and then we was start the actions associated with it. This is a little different than the March reroll per customer approval was planned specific endpoint specific the new index we need to do. This it has got tentacles in many aspects of the electric utility business itself. And it will take some dialogue and serious dialogue and contemplation of how to address these types of issues to me state jurisdictional perspective. And will be a part of that process will follow our resource plan and we will go from there, just like we always have.
Operator: Thank you. Our next question comes from the line of Steve Fleishman with Wolfe Research.
Steve Fleishman: You're for the couple times to the 2016 risk-adjusted assumptions. Could you just clarify exactly what you mean by that?
Nicholas Akins: When you go into forecasting a year you are looking at what loads doing and obviously load is moving around on us. The customer mix is moving around on us. Capacity auctions were contemplated whether PPA would occur during that period of time and then of course looking at any transmission investment and those kinds of things that we need to evaluate. Those are important pieces but I think probably [indiscernible] thing we can do is come up with a plan and budget that risk-adjusted many of these items and some of them are externally driven. Significantly externally driven like the capacity auctions and the PPAs approach in Ohio. So as we go forward in the year, we obviously like to get more information that we can make - really make a quality forecast of what 2016 looks like. I think made a lot of progress. Because we know what we've done relative to the continuous improvement enhancements that have occurred that crescendo over time. And we expect that in our benefit in 2016. These external items are more difficult to tell and really what happened last night is another indication of how things can get adjusted at the last minute. So it's difficult to scale but I think in the next two 22 to 3 months we will see a lot of clarity.
Brian Tierney: And even with all those factors that make mentioned, Steve, as with that we 16 we're still into the operating earnings guidance range that we’ve given for that previously of $3.45 to $3.85 per share.
Steve Fleishman: Okay. As part of this trying to judge how much you need to manage cost and move stuff around depending on how these play out? Is that also what currently you're referring to?
Nicholas Akins: Yes absolutely. We've been moving costs from 2016 into 2015 and 2014. And now we're reaching the point of conclusion where we understand those cost components going into the year. It really is about load forecast and ladies external issues that we are doing with. But those will play themselves out in the next couple of months.
Steve Fleishman: Okay. And maybe this is a bit of a commentary in the question but just I know you continue to focus very much on the auction outcomes and maybe a lesser extent PPAs in Ohio for the decision on generation. But there are a lot of other things that affect the value of the portfolio commodity prices, stock market, financing conditions, all those kinds of things. How much do you need - how are you weighing kind of answers to some of these questions versus just there can be periods of time where it's hard to get transactions done.
Nicholas Akins: Obviously the answer is rate environment. We continue to deal with and certainly with Janet Yellen is trying to do with interest rates in the future. Might have an impact but as far as the sector itself and our performance within that sector, we feel very good about the past that we're taking and that is to take risks out of our business. And to make sure that we are able to invest in those things that provide quality returns to our shareholders. And. That is what we control. And we have to be very disciplined at it and there may be external things that occur around the world or nationally that could impact it but typically though even if you look at commodity prices I think where we're at right now is somewhat of a tenuous economy because we see residential commercial and industrial moving back and forth all during the year. It's like you're in a waiting stage. Who knows what will happen but you could have and energy economy take off or you could have an energy economy that stagnates but these based on public policy whether you exporting or we two other things. It would have an impact on the commodities themselves. And I think it's important for us to be knowledgeable about those kinds of issues so that we can manage our business around aggressiveness met shoulders consistent returns. And that's what we're doing.
Steve Fleishman: Last question, the page with the credit metrics particularly the FFO to debt or the EBITDA metrics clearly shows you are way stronger than your targets. Can you give some thought on what's the ultimate goal? I assume your goal is not to stay dramatically above the targets.
Nicholas Akins: It's to be within those targets, Steve. Part of that rationale is why we increased the CapEx for the balance of the year and of course will be looking at what we expect those metrics to be in 2016. And adjusting our apex forecast accordingly.
Brian Tierney: A lot of this is about making sure that the business is on firm and sound financial footing so that we can make continual judgments about where he put our capital. And we have this huge hedge out there called transmission that we are able to essentially do acquisitions all-time. And it's a good place to be but at the same time we improved our currency value we improved our position from a risk tolerance perspective. And it is an opportunity for us to reposition this company for the future. We just retired 3500 MW of coal-fired generation. So you are starting to see a rebalancing of the portfolio to address what customers truly want in terms of resources we believe a balanced set of resources is important including cold but we've got to get through the process of ensuring that we're advancing from the other technologies and addressing customers concerns relative to quality of service and that's what we're doing.
Operator: Thank you. We will now go to the line of Paul Ridzon with KeyBanc
Paul Ridzon: The 200 million of incremental transmission capital, how is that going to be divided between holdco and the utilities?
Brian Tierney: About $80 million of that will go to the Transco and remainder will go to the integrated utility operating companies.
Paul Ridzon: Could you give more flavor as to what went better than planned to allow you to raise guidance at this point in the year?
Nicholas Akins: I think we covered that during the meat of the call to a large degree. Rate increases and whether were stronger than what we had forecasted. The regulated businesses are doing very well and the competitive businesses are doing about as well as last year. Cash flow is ahead of expectation and you put all of those things together in that gives us the confidence to raise the operating earnings guidance and raise the CapEx that we talked about
Brian Tierney: And the continuous improvement activities, they are starting to culminate across the Board. So it's cost control, it's certainly the underlying fundamentals of the business are very positive and it gives us the confidence to raise the earnings.
Operator: Next we will go to the line of [indiscernible]
Unidentified Analyst: Can you talk about the scale of the open position at AEP generation resources as you look out over the next few years or how to think about that as a sensitivity?
Nicholas Akins: They are trying to stay in a hedged position of about 60% -70%. I think they've done that to pretty good effect really since early last year when the business started. And that allows them to do a couple things. Allows them to hedge in what some of the earnings are going to be at prices that they find attractive and they do that through both retail - they also auction they have to serve FFO vote and their normal trading activity. But then it also leads them with an open position to take advantage of what could be higher prices like they have during the Polar Vortex sees of last year. Take advantage of that. And to cover things like unit outages or load spikes or price spikes that can happen in the short term. They don't want to be sold out and fully committed. They want to have a significant portion hedged and a portion to cover from on expected short-term opportunities
Brian Tierney: Chuck and his team continually evaluate that but the 60 to 70% has been a target for a very long time now. It's for that reason - we are risk-averse from that standpoint because that business is really focused on making sure it continues to be an airtight business that has like I said earlier, Easton a great job of compartment slicing the risk. And that is a part of that ability for them to do that.
Nicholas Akins: The assets that Chuck has in that business are great assets and the risk management they've applied to that is this has been phenomenal through some really pretty volatile circumstances over the last year and half. We really proud of the way they are managing that business and they've done it very to good effect financially.
Brian Tierney: Really when we look at it's not internally what the issues are because we can control what happens all to have Power Generation operates from operational excellence perspective. And how we manage risk within that envelope. The real issue is what happens outside with the regulatory commissions, FERC, Ohio and elsewhere. But certainly yesterday was another indication. Markets moving toward a certain set of conditions for the auction and it gets changed at the 11th hour and that is a concern because you never know what the rules of the game are and they can change at the last minute or change afterwards. And that is troubling. I think consistency - we have consistency internally. It's consistency externally that we need.
Unidentified Analyst: Is it presents us to say that you are bullish about power prices?
Nicholas Akins: I wouldn't say that's presumptuous. I really believe we have taken substantial amount of capacity that's been retired and we believe that capacity prices will improve.
Operator: Thank you. Our next question comes from the line of Jonathan Arnold with Deutsche Bank.
Jonathan Arnold: Any update on the River Ops transaction that you talked about last quarter?
Nicholas Akins: The process we're going through terms of valuation continues. That's really all that we can report at this point.
Operator: And we will now go to the line of Paul Fremont with Nexus. Your line is open.
Paul Fremont: I guess I wanted to follow up on the PECO [ph] decision yesterday to get further consideration at some point in the future of your rehearing request in the [indiscernible] proceeding.
Nicholas Akins: It just looks like it is some continued delay really. We don't seem to be getting answers or schedules or the things we need to be able to get the answers we're looking for. They seem to be putting some of the decisions further out into the future and as Nick said we need some clarity and we don't seem to be getting it.
Brian Tierney: I don’t know far you can delay these things. It's an issue where there needs to be an answer and I'm just concerned that we are either waiting until after the capacity auctions or whatever. Ohio needs to be concerned about - yesterday was another indication if you're going to depend upon from the federal side to address the market issues that changes will occur that you didn't - you may not anticipate. And I think from a generation perspective we've got to make sure that Ohio continues to develop and certainly with the natural gas out there that nothing will happen until there is some resolution so you're in a hold pattern. We're not going to make any investments in central station generation in Ohio. I have not seen many others step up to the plate. I know there's maybe one or two units that are being built out there but keep in mind you've retired thousands and thousands of megawatts and you're short in Ohio. And so the delays need to come to an end.
Operator: Thank you. We will now go to the line of Brian Chin with Merrill Lynch.
Brian Chin: Just a brief one on your earlier balance sheet comments, clearly the metrics are looking a little better debt to cap numbers of strategy around and even the pension funding numbers looked really solid. Given all of that does it make sense on the margin to reconsider capital deployment towards maybe looking at the dividend policy as opposed to truly looking at transmission CapEx? And marginal changes there to think about?
Nicholas Akins: The real question is what happens to the dividend.
Brian Tierney: In so many words, yes.
Nicholas Akins: Yes. Usually we review the dividend policy in the October timeframe and our board certainly will be considering the dividend policy. We still maintain our 60% to 70% range we stated earlier and the dividend will be commensurate with the earnings profile looks like. We stand by that. There's no reason to see it will change but obviously we look at the baseline of the business and with the forward long-term view would looks like and the board will reevaluate and do that in October timeframe.
Operator: Thank you. We will go to the line of Anthony Crowdell with Jefferies.
Anthony Crowdell: I guess this is a softball question. Do you think Governor Kasich entering into the race slows decisions down in Ohio? It looks like [indiscernible] with the endgame is where they are looking to punch you but do you think this slows things down or speeds things up or has no impact?
Nicholas Akins: My bet would be no impact because Governor. Kasich obviously has confidence in the commission and certainly Andre Porter is chairman has taken over there and my belief is that he is going to leave it to the commission to decide what this Ohio policy looks like. I don't see his running for office of the president to slow things down. I guess the real question is will the PCO actually speed up? That is something that they need to address.
Anthony Crowdell: Do think they are waiting for - Brian had used that football metaphor for they keep punting. Are they punting to a certain calendar date or a certain time whether it's PGM is resolved or is that their target or is not really sure?
Nicholas Akins: Only they can answer that. It's one thing to have one delay but to have delays of several cases occurring, that's really not a good message. And to said energy policy in the state, you've got to have the courage to step up and make a decision.
Brian Tierney: And see them score touchdown or field goal rather than punt again.
Operator: We will now go to the line of Ali Agha with SunTrust.
Ali Agha: I just wanted to make sure I heard your original commentary correctly, with regards to your thinking on the generation business. So as you said these Ohio PPA [indiscernible] most likely now we’re looking at that maybe in 2016. But if I'm hearing you right should we still expect your final decision on the merchant business this year in the remaining months of this year? Or is that also going to be dependent on when this PPA rider stuff now comes out?
Nicholas Akins: I think certainly the capacity performance and the base residual auctions are significant piece of that discussion. We're going to have to see - what the lay of the land is after that is concluded to visit with our board and determine what the next steps are. But that doesn't stop us from pushing ahead with the PPA proposals regardless of the outcome. But certainly I think Ohio could send a great message by proving those PPAs. It remains to be seen whether we're going to actually wait. This can't go on for a long time. We're after certainty for our investors and from a shelter perspective, we cannot have this overhang because it really not only confuses us on how to invest in the unregulated generation or lack of investment, but it also is so convoluted that it is difficult to understand exactly what it is you have in terms of valuation of that generation. And so the steps being taken particularly with the clean power plan and other things that are occurring I think those units will survive the clean power plan because there absolutely needed. They are great units and they are 2/3.1/3 gas. A lot of fuel switching occurs between coal and gas. So they are valuable units but they just need to be reflected that way. I just think it's something we've got to get a handle on. As far as timing is concerned, we want to make that decision as quickly as we possibly can. But we have to do what is right for the shareholders and we have to do on analysis based upon what we can determine the best we can with the value of that generation on the forward basis will be. If you get a great capacity performance number, then that may diminish the need for PPA. But I still think PPA is needed. It's an important part of the hedging for customers in Ohio. It's important part of that generation being maintained in Ohio with the jobs taxes and everything else I've talked about. We're not going to - we have not and will not give up on the PPA approach with the commission. They need to answer that question. It would be great if the answered it relatively quickly so we can get on with the business at hand. But certainly those two items are still outstanding and we're hopeful that at least one of them will get resolved very quickly, so that we can start filling in the blanks.
Ali Agha: And from a logistics point of view, Nick, there would be no constraint for you to exit the merchant business while this PPA rider application was still outstanding ask
Nicholas Akins: We don't believe there is a constraint because the real value of the PPA is again to maintain the generation in Ohio and make sure that economically there is still there and regardless of the outcome of the disposition of that business.
Ali Agha: And last question, is it fair to assume that previously you had looked at scale and spin off as two trajectories. Is still look a little more likely outcome than spin off? Is that fair to say?
Nicholas Akins: We don't know that yet. We've all these events look at things like the tax efficiency and other parameters before we can really make a decision on sale versus spin. Or for that matter keep but certainly sale and spin which you mentioned. Those are areas where we have to look at the economics and it depends on - you've got to be offered a sale price that overcomes the tax efficiency of the spin and there is other things involved with it from a business perspective as well. I would say both are still part of the decision process.
Operator: Thank you. And we will go to the line of Julien Dumoulin-Smith with UBS.
Julien Dumoulin-Smith: A quick question if you look at all and get some clarity around transmission spending, [indiscernible] has been The gems been evaluating reduction in the forecast but from what I understand you are investing below the [indiscernible] level as in its basic transmission investments at the lower KV. How do think about the impact of potential reduction in PJM load forecast relative to your investment plans near term and long term it's actually in the context of having more proceeds from any prospective sale of the River Ops or [indiscernible] etcetera.
Nicholas Akins: I don't anyone knows what the load forecast is at this point and certainly we don't know the level of investment needed from a transmission perspective. We are in the process of redefining this electric grid. And we have retirements that occurred on one of the transmission has been built because of the retirements but also there continues to be optimization across the grid as a result of their will be more optimization after the clean power plan gets resolved. The changes occurring in PJM now are more about generation and certainly reliability and less so about load. And so I wouldn't put much context in terms of a forward-looking transmission plant. We've seen over and over how transmission plans change with varying degrees and sometimes we get irritated by that because we plan transmission like PATH and things happen. But if you look at the underlying fundamentals of transmission, the grids is changing dramatically. The flows on the grid are going to change dramatically. So when you look at the four power transmission system you can be bullish about that and then the underlying which you mentioned the lower KV levels be some transmission and those levels, there is a massive amounts of rehab work and follow-up work to forward purchasers and at least be done. And we happen to have the largest transmission system in the country so that bodes well for the investment potential for AEP.
Julien Dumoulin-Smith: Perhaps just to clarify if you will, in the increase in transmission spend off late and just thinking about the sensitivity if there were to be a shift in the RTEP [ph], it seems that you guys have historically had some element of comfort around projections given that they don't primarily seem to flow out of the [indiscernible] process, if you could elaborate a little bit. Just getting some sense of how hedged are you presently to changes either way in RTEP.
Nicholas Akins: We have a bunch of big buckets and a lot of those big buckets are not RTO dependent.
Brian Tierney: Our transmission spend and forecast is not dependent on a RTEP load forecast. I would not put a lot of stock in a RTEP load forecast anyway.
Operator: We will go now to the line of [indiscernible].
Unidentified Analyst: Couple of ones, first one with the transmission auction have you guys heard from PJM or do you guys have any idea when the new schedule might be or when we might get more information on that?
Nicholas Akins: Yes we will know soon. I think certainly PJM will have to speak about the ins and outs of that but we suspect it will be within maybe a month or three weeks delay or something like that. I don't think it's a substantial thing. Still have to observe the same performance criteria when they did in. I think it should be a large delay.
Unidentified Analyst: If it might be before the PRA?
Nicholas Akins: I don't know about that. They will have to answer that obviously but I don't think we're talking about moving into fourth quarter or anything.
Unidentified Analyst: Let's hope not, just another quick one for you. In terms of the potential asset sale or spend which you guys be open to idea of accepting other entities currency like a stock deal? I'm sorry guys would prefer cash if short sell the Junco would you guys be open to the idea of maybe taking the equity of whatever one of the players out there that has been acquiring these things?
Nicholas Akins: Paul, at this point is worth evaluating. I think everything would be on the table. We wouldn't say no to that if we felt that was the highest value for our shareholders.
Brian Tierney: I think we haven't closed off on any of these parameters that we keep talking about because frankly we don't have the full answers yet.
Unidentified Analyst: On the delays that have been happening in Ohio etcetera, have you sensed any change in tone or issues that have come up or any flavor as to the environment there with respect to this? Or is this regulatory stuff that happens in a lot of major proceedings that are not exactly run-of-the-mill?
Nicholas Akins: Obviously the PUCO I speak for supplement issue but it is a major issue. You can't get around that. I'm sure there's a lot of deliberations occurring over in their camp and it's part of the regulatory process. Many times I think it support for policymakers to understand the business disruptions that occur relative to either waiting for decisions or not making decisions let alone the wrong decisions. We really do need some consistency and delivering on orders and rulings on a timely basis. I think it's particularly important to the industry and particularly important to electric utilities in Ohio.
Unidentified Analyst: Okay but you have noticed a significant shift I guess or any change in what's going on there other than normal back-and-forth and what have you? Or have you?
Nicholas Akins: I don't think there's been a significant shift or anything. I think there's a lot of dialogue going on. We have dialogue going on these issues in the Ohio business Roundtable and the close partnership and of course at the commission as well. It is an important issue but I haven't sensed a change. I think it's a very deliberative approach.
Operator: The final question will then come from the line of [indiscernible].
Unidentified Analyst: We have touched a lot on PGM and PPA. Fix it over to transmission back again. Could you talk about what you guys are thinking any update on potential alternative structures? I know last time you talked about the restructure doesn't make sense for you guys. Any updated thought process on that? And the second non-related question that could you talk about what you are - I know demand looked pretty good on normalized basis. Angel more insight into with respect to you see pattern to what you're seeing there are what sort of aside from just a general economy improving that striving the growth or demand improvement there?
Nicholas Akins: Brian, covered the economy piece of it. As far as transmission is concerned we have in changed our approach to the transmission business we're still heavily investing in it and we still want to make sure that we continue to do it in a positive way from a state perspective. We haven't changed our approach from that perspective. Brian?
Brian Tierney: I think on the customer usage side a large part of what is driving residential in particular is customer counts. We are seeing average customer usage hang in there. We're not seeing decreased to the degree some others are. But it is customer count that is driving it. I've been this job for five and half years maybe more and I've been talking about 5.3 million customers that whole time. I'm finally through to be able say we're rounding at 5.4 million customers. Customer counts particularly in the West helping us out. It's largely driven by is not the talk about macro factors but a lot of it is shale gas and with the economy are doing well. We are seeing increased usage. In places like Kentucky Power that is being particularly hard-hit by mining shutdowns in the like we're seeing customer counts decrease and used down. It really does unfortunately follow the macroeconomic factors that we are seeing and we are blessed to have the shale gas plays in our service areas and that's really driven a lot of the load increases that we've seen.
Betty Jo Rosza: Thank you everyone for joining us on today's call. As always the IR team will be available to answer any additional questions you may have. Nick, would you please give the replay information.
Operator: Today's call will be available for replay beginning today at 11.15 and running through July 30 until midnight. You may access the playback system by telling 1-800-475-6701 and entering the access code 364235. The dial-in number again is 800-475-6701 and International 320365 320-365-3844 with access code of 364 364235. That does conclude our conference for today. Thank you for your participation for using AT&T executive teleconference. You may now disconnect.